Operator: Good day, and welcome to the Energy Focus First Quarter 2014 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Frank Lamanna, Chief Financial Officer of Energy Focus. Please go ahead, sir. 
Frank Lamanna: Thank you, Lloyd, and good afternoon. Welcome to the Energy Focus First Quarter 2014 Earnings Conference Call. Today, James Tu, our Executive Chairman; Eric Hilliard, our President and Chief Operating Officer; and myself, will report on our results for the first quarter of fiscal year 2014. 
 The news release with our earnings results has been posted to our website under the Investors section. As a reminder, today's discussion will include forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. These forward-looking statements are subject to numerous risks and uncertainties. We encourage you to review our most recent filings with the Securities and Exchange Commission, including our 10-K and 10-Qs for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. We are not obligating ourselves to revise our results or publicly release any revision to these forward-looking statements in light of new information or future events. 
 Now I'd like to turn the call over to James Tu. 
James Tu: Thanks, Frank. Good afternoon, everyone, and thank you again for your participation in our first quarter 2014 earnings call. 
 Our first quarter 2014 financial results marked a clear continuation of our turnaround effort during the second half of 2013, and an exciting expansion of positive momentum under the new Energy Focus. Before we start discussing about our progress, I would like to take the time to express my gratitude to all our shareholders, who are patient and supportive to our necessary reorganizational efforts during the past 9 months. I would also like to give 2 thumbs up to all our employees who took the multiple challenges and oftentimes, unprecedented pressures to co-create a new powerful culture of accountability, trust, extraordinariness, fun, openness and integrity. We have now embarked on a long and exciting journey towards building an impactful LED lighting enterprise. 
 During the quarter, as we stated in the press release, our sales, excluding government R&D service revenues, grew 32% organically from a year ago. As we indicated in our press release, our government product sales grew 511% over the same period of last year, even though we believe that we are still in the first half of the first inning of our -- of penetration into the military ships market. 
 We have not yet started generating significant commercial LED tube sales during the first quarter as we reorganized our escrow product sales teams and launched our 2 products into the commercial and industrial markets in January this year. However, we are now building up our pipeline for commercial tube sales aggressively, and we very much look forward to increasing revenue contributions from commercial tube sales from the second quarter on. 
 Equally important, as we continue to enhance our production and sourcing efficiency and impose stronger operational and financial discipline throughout the organization, we were able to improve our growth margins further during the quarter, which came in 9.1 percentage points over the same period in 2013 and 5.7 percentage points over the fourth quarter of 2013. Notably, the solutions business improved its gross margin by another 8.8 percentage points sequentially from the fourth quarter of 2013. We have improved solutions margin by 17.8 percentage points over the past 6 months, and our solutions business is generating operating earnings on its own for the second consecutive quarter. We believe that we are well on our way to reach and exceed the 30% margin target we laid out in the last earnings call for 2014. 
 On operating margins, we reduced operating losses to $1.1 million from $1.2 million same quarter last year. Had we not invested additional $300,000 to jump start our commercial business, we would've improved our margins further. With that said, it was clear continuing sales growth and margin improvement, we do believe that we are on track to narrow the losses further and become cash flow positive within 2014. 
 Now I'd like to turn the call to our CFO, Frank Lamanna, for more specifics on the financials. After which, I'll update with you in further details on our progress in various business units. 
Frank Lamanna: Thank you, James. Good afternoon, everyone. Before I discuss the financial results for the first quarter of 2014, I'd like to inform everyone that the financial results that I'm going to refer to, as continuing operations, will exclude those of our pool products business, which was sold in November 2013. We have eliminated all net sales and expenses associated with pool business on a historical basis and classified those activities as discontinued operations. 
 For the first quarter of 2014, Energy Focus had net sales of $4.9 million, an increase of $461,000, or 10.3%, compared to the prior year's first quarter net sales from continuing operations of $4.5 million. Our product segment sales grew 3.1% quarter-over-quarter. 
 In the first quarter of 2014, government product sales increased 511% compared to the same quarter last year as our sales to the U.S. Navy and maritime fleet gained momentum. 
 Offsetting this growth was a 97% decrease in R&D services revenue due to our change in focus to only those projects that may result in material LED lighting product opportunities. 
 The solutions segment sales increased 21% from $1.8 million in 2013 to $0.1 million in the same period 2014. First quarter 2014 gross margin was 28.9% of net sales as compared to last year's first quarter gross margin of 19.8%, a 9.1% -- excuse me, a 9.1 percentage point improvement. 
 In the first quarter of 2014, the product segment gross margin improved by 6.7 percentage points to 29.3% of sales in the first quarter of 2014. Our improvements in gross margins in the products segment have been spurred by our continuing efforts to effectively manage and refine our supply chain. We have identified cost savings opportunities by creating more efficient product designs and at the same time, lowering costs through our supply chain. 
 The growth of our sales pipeline has enabled us to enhance our buying power and to go -- and to negotiate more favorable material pricing in terms with our suppliers. 
 The solutions segment gross margin improved by 12.8 percentage points to 28.5% of sales as we continue to improve operational execution of the solutions business. We have refocused the solutions business by concentrating our project design efforts on only LED lighting design and retrofits, while specifying Energy Focus' array of LED lighting products. Except for a few legacy projects, which are scheduled to be completed in the second quarter, our margins on awarded projects are increasing to establish target levels. 
 Operating expenses were 25 -- or excuse me, operating expenses were $2.5 million in the first quarter of 2014 as compared to $2.1 million in the same quarter of 2013. 
 The increase in operating expenses was primarily due to selling, general and administrative expenses associated with building our commercial LED tube business. 
 For the first quarter 2014, net loss from continuing operations was $4.1 million as compared to a $1.5 million net loss in the first quarter of 2013. Included in the first quarter net loss, the onetime expenses of $2.7 million. $2.6 million of which were noncash charges and are related to the conversion of unsecured convertible notes. Excluding these onetime charges, the net loss from continuing operations was $1.4 million. 
 Cash and cash equivalents at March 31, 2014, were $2 million compared to $2.9 million at December 31, 2013, a decrease of $900,000. 
 During the first quarter, we utilized funds to purchase materials to meet growing demand for our military and commercial LED tubes and to pay down our aged outstanding accounts payable, which significantly improved our credit status with third party credit services and suppliers. 
 Cash used in operations for the quarter ended March 31, 2014, was $2.1 million compared to $2 million for the prior year. 
 Now I'll turn the call back to James. 
James Tu: Thanks, Frank. Now I'd like to provide you with an update on the progress we've made during the first quarter of 2014, as a company overall and in our various business units. As many of you are aware of, the Energy Focus today consists mainly of 2 business segments: LED lighting solutions and LED lighting products. Our solutions business provides both LED lighting retrofit orders and design services, as well as turnkey LED lighting retrofit solutions, mainly to the energy service companies, or ESCOs, which provide energy-efficient retrofit solutions with performance guarantees so their clients, mostly federal or state funded agencies, are able to obtain financing for these energy upgrades. 
 Our product segment markets are finally composed of military and maritime, ESCO, and commercial and industrial. During the quarter, I'm happy to report that we continue to make progress in all our target markets. First, we continue to improve our solutions margins and contributed operating income to the business for the second quarter in a row. Due to the improved internal control procedures we've put in place and our cost control measures, we believe that we have fundamentally elevated our margin to a sustainable level. 
 During the quarter, our solutions team designed and proposed an industry-leading amount of all-LED projects of $9 million that encompass: schools, universities, hospitals and parking garages. We believe that our proven LED lighting retrofit design capability will help us expedite LED adoption in the markets we address and enable us to enter into more product selling opportunities. Many facility managers today are still not clear about LED lighting's extreme appeal, and the incumbent lighting companies are still not actively converting their customers and distributors to LED lighting products. Therefore, our long-term goal for our solutions business is to maintain its positive financial contributions to the company and through all-LED lighting retrofit design and consulting services to help shape Energy Focus into a leading, trusted brand in the lighting industry, as well as generate large product sales opportunities. 
 Our military and maritime business, excluding government R&D contracts, are not only [indiscernible] 10% from the first quarter of last year, but also 40% sequentially over the fourth quarter of 2013. Again, we have stated that we have been experiencing triple digit growth in the sales pipeline of this business since the beginning of the year, and we believe that we are just in the beginning of steep and sustainable long-term growth. 
 Our sales footprint continue to expand during the quarter, and we believe that the awareness of our LED products is approaching an inflection point as we are now getting unprecedented interest from shipyards across the country. Our long-term goal is not only to grow rapidly, but also to dramatically expedite LED adoption by the U.S. Navy, Military Sealift Command and Coast Guard, which together represent more than $1 billion opportunity for us over the next few years. 
 In addition, we continue to practice Kaizen for continuous improvement in our manufacturing operation for military products. We are also making great progress in redesigning products to lower component costs, while maintaining functionality and reliability. So we believe that we are on our way to sequentially higher gross margins in our government business. 
 Our strategy in the ESCO markets is to leverage upon our proven product reliability endorsed by the Navy, as well as our deep understanding in networks under the ESCO channel. We are currently focusing on our sales and marketing efforts in the federal government agencies, which we believe have potential sales of several billion dollars over the next few years. Our goal, in the military channel, is to become not just a leader but also to be the standard for LED tubes to be used in ESCO projects. We are now pursuing over $20 million of opportunities throughout various government entities, such as U.S. Army and Navy bases, VA hospitals and federal government buildings. And we expect to see sales materialize from second quarter on and opportunities to grow substantially over the course of 2014 and beyond. 
 Our commercial industrial business sales, primarily our LED tubes -- products tubes, that address the retrofits for fluorescent bulbs, high-intensity discharge lamps and trucking luminaires. We believe that our C&I business is an addressable market of more than $60 billion in the U.S. alone over the next 5 to 10 years based on the number of fixtures installed and conservative long-term estimates on LED [ph] prices. Our strategy in a nutshell is for us to meet our clients' needs by providing the highest performance products at the lowest cost. 
 As I mentioned earlier, we have just launched this business in January 2014, targeting mainly: large national retailers, hospital systems, universities, trucking garages and property management companies, particularly in high power rate, high energy rebate regions. Since then, we have identified and are now pursuing $14 million of opportunity. We have already started our Ohio regional office, and we plan to open 3 more regional offices this year in Boston, New York and Washington, D.C. areas. 
 Although the sales lead times are usually between 6 to 12 months, we believe that we will start seeing modest revenues in our second quarter with sequential quarter-over-quarter growth for the foreseeable future. 
 In conclusion, we believe that we are building positive momentum in all the LED lighting markets we serve, and we look forward to updating with you with more exciting progress as the year unfolds. 
 With that, I'll turn the call back to the operator to open up for questions. 
Operator: [Operator Instructions] We'll take our first question from David Hurtman [ph]. 
Unknown Analyst: I'm excited about the progress, but I do have some question about the booking on the Navy sales that were announced. I don't know how that goes. I mean, if it's -- obviously, you announced a lot of sales in the quarter, but the sales figure doesn't show that. Can you put some information on that? 
James Tu: David, when you say the sales figure doesn't show up, we announced in the press release before that we are seeing a lot of orders, right? And the orders will take a few months to be filled. So you will start seeing that, obviously, in the coming months and quarters. 
Unknown Analyst: Just so I understand that when you announced them, the sales aren't booked in that quarter that you're announcing the sales, they're booked as it's delivered or... 
James Tu: Well -- obviously, if you look at the press release today, the earnings release, that's the real sales. We've sold $1.5 million in the quarter. But if you look at the press release we have announced in the past, it was because that we are seeing a tremendous momentum and growth in the order pattern, and we were making announcement that those are material developments in the company, that we had to make an announcement. So you will start seeing those orders turn into sales in the next month -- a quarter or 2. 
Unknown Analyst: Okay, very good. And I do have one other question. On the pipeline, it sounded like you had $20 million in Navy sales pipeline and another $14 million in commercial sales pipeline? Is that... 
James Tu: No, those are the opportunities that we are pursuing now. So we believe that a portion of that -- hopefully, a good portion of that, will come in the next few quarters. That's where we are. And we are still increasing the pipeline, by the way. So they will translate into sales, some of them at least, over the next few quarters. 
Operator: We'll take our next question from Billy Hardy [ph]. 
Unknown Analyst: Back in April -- back, April 7, you announced that you were partnering with a fixture manufacturer that had gotten approval from the Navy to supply fixtures for new ship construction. And in turn, you would provide the 2 fixtures for that new construction. Has that been extended to commercial building construction wherein you would partner with either that firm or some other firm that was doing similar fixture works so that you could piggyback on that fixture to get your tubes into new construction? 
James Tu: I will -- I'll have Eric talk a little bit about that fixture partnership, and then I'll answer your question about commercial fixtures. Eric? 
Eric Hilliard: Thanks, James. So to speak specifically to the U.S. Navy fixture and new construction market that we've partnered with, we want to open that market up as we announced in the press release, which is a sizable market to us. But to do that, obviously, you have to provide the entire fixture. So the complete focus on that is to do just that. We have to go to the shipyards who are producing brand-new vessels for the United States Navy and provide the entire fixture of LED solution. And that's just specific to that and that manufacturer's focus is that, so it was not in any way to utilize that front to move into the commercial marketplace. 
Unknown Analyst: No, I understand that. But is there any plan to mirror that in the commercial market? 
James Tu: So Billy, the -- so Billy, to your question about the commercial and industrial market, remember, we are focusing on the retrofit opportunity. Yes, we do get requests to replace the fixtures from time to time, and we do partner with a few fixture companies when they're pretty much our vendor in a way. We are buying products from different fixture companies when the needs come up. But our main market is going to be in the retrofit market where we replace the tubes. I'll replace HID, lens or trucking garage [ph] luminaires. We sell tubes. And those are the biggest opportunities. We are talking about billions and then adjusting the fluorescent side to more than 2 billion of install tubes in the U.S. alone. So that's the edison market. Yes, there's going to be fixture demands from time to time, and we do have fixture companies that we work with. And we do expect in the future that some of these fixture companies will be marketing our products as well. So hope that answers your question. 
Unknown Analyst: Well, in a way, but just one point, is it -- is the fixture company the company that decides what lighting tube to use? Or is that independent of their decision? 
James Tu: Well, well, number one, we get demand from our customers, what we call clients, about fixtures sometimes other than single retrofit. So we buy fixtures and package them into the whole deal and sell to them. That's one way we work with a fixture company. The fixture companies also have their own fixtures, that they would choose their own lens, and we hope to be the lens that they choose in the future. We'd like to be the vendor of the industry, obviously. So we look forward to working with the fixture companies to put our lens in their fixtures. That's another aspect of the business when it comes to fixtures. And I think you probably know that a lot of other LED lighting companies, especially larger lighting companies, try to push the whole panels and fixture replacement solutions. We focus on replacing the tubes because it's a lot more economical and it's -- and they're a lot easier. And you wouldn't have to rip out the fixtures next time you upgrade your lighting. So there are a lot of benefits of directly retrofitting the fixtures with the -- our tubes. That's the solution we are pushing. 
Unknown Analyst: Right. Well, I'm just trying to mirror what you're doing in the new Navy warship construction area where you are partnering up with a fixture so that you can get your tubes into that new warship, which have been approved by the Navy. 
James Tu: Sure, sure. I think that's definitely a very good question, but realize that the Navy market are very -- it's a very specialized market where there are not many fixtures companies that have qualified fixtures in the channel. In the commercial markets, you have literally, hundreds of fixtures companies everywhere. Our goal is to be able to work with the larger fixture companies, and hopefully, at some point, we will be able to penetrate that market as well. That's what we call the OEM market, it's one of our [indiscernible]. So it's a very different adventure. That's why in the Navy market, you need to partner with a qualified fixture company to get into the new ship-building market. 
Unknown Analyst: I know in your announcement there was a summary of all the ship activity that was going to take place in -- oh, I guess, it was about 20 years' summary. But in focusing on the near term, there's quite a few ships that the Navy is hoping to build and develop in the near future, so good luck. 
Operator: [Operator Instructions] We'll take our next question from Al Snyder [ph] from Oppenheimer & Co. 
Unknown Analyst: I have a quick question. About 3 or 4 days ago, President Obama announced a commitment, an Executive Order, so I think he's talking about various forms of energy efficiency programs and... 
James Tu: Yes, $2 billion-dollar efficiency... 
Unknown Analyst: $2 billion, right. $2 billion and essentially pointing out that the $2 billion is an extension of existing programs, and they're really paid for by upfront cost and no net cost to the taxpayer. 
James Tu: Yes, absolutely. 
Unknown Analyst: That was part of the actual federal release. That's pretty exciting stuff. So I guess the question, James, is where do you guys stand with respect to that type of business? Are you a factor? Are you trying to be a factor in that area? So how you're dealing with that? That's the question. 
James Tu: Yes, absolutely. Al, that's a great point. Yes, it's -- as we -- as I just went over in the earnings call, we have a dedicated focus on federal ESCO opportunities, which absolutely capture -- try to capture that additional opportunity in the next few years. We are -- we have got to multiply our current sales pipeline in the next few quarters by focusing -- partnering with the leading ESCOs, that we'll be able to get these opportunities, that these energy efficiency retrofit opportunities. So definitely, I would think that it will be one of the fastest growing business for us in the next few quarters. Yes, we are a dedicated team. Now every team there is now overseeing to expedite our growth in that whole particular vertical. And again, as I mentioned, we want to be not only a leading player in that market, in that particular vertical. We like to be the vendor because we are, today, providing what we believe, highest performance at the lowest cost products. As you know, buildings -- all these buildings has fluorescent lights. That's exactly what we are aiming to replace. 
Unknown Analyst: Right. And James, just one other question, and I'll get off the queue, but can you give -- or are you permitted to give any other projections as to where we might be at the end of the year? I mean, are you being conservative in what you're saying? Or are you being -- are you thinking beyond these numbers? Or what -- how do you really -- how do you feel about where we are? It sounds to me that you're at the takeoff point right now. And if things fell into place, that there's some really wonderful numbers coming down. And I don't want you to be overenthusiastic, but I just -- I guess we all like to know, could we wake up one day and say “Oh my God, the numbers doubled. They're far in excess of what James had suggested, and it's all a result of his hard work and effort. And it's all happening." 
James Tu: Well, Al, for your question, obviously, as an investor myself, I would love to see strong growth ahead for this company, and that's what the whole team is working towards. I think we have been conservative, and we want to stay conservative in forecasting the future. This is the first year of a turnaround that we try to build up hopefully sequential growth going forward. And I obviously don't rule out the possibility that we could grow faster in some quarters than in other quarters. But I'd like to see a few quarters of positive momentum building in development before we feel comfortable forecasting the numbers. 
Unknown Analyst: No, I understand. 
James Tu: At some point we will. One promise I can give you is that at some point, by year end, we should have a pretty good sense about these contract growth. And one thing I keep emphasizing over the past few calls is that the deals we work with are all pretty sizable given where we are right now in terms of revenues. We are talking about national retailers, large hospital systems, that each of them could be millions of dollars. So it's far too early for us to predict a quarter, and we don't want to underestimate the potential. We don't want to overshoot either. So our policy is to stay conservative and execute. And in a few quarters, when our sales level is at a point and our pipelines are at a point we feel confident enough giving our quarterly financial projections, we will do so. 
Operator: We'll take our next question from Ted Brown [ph]. 
Unknown Shareholder: Now listen, when the ships come back from 4 months of deployment to Westpac or the Med, are they happy with the system? With your light fixtures? 
James Tu: Sure, I'll have Eric answer that. 
Eric Hilliard: Hi, Ted, it's Eric. Yes, absolutely. I've been meeting with the United States Navy over quite a period now, both in the Pentagon and in the fleet, and I do believe that the fleet is very pleased with the product they're receiving. All we ever get is really positive reviews and positive information. And yes, I could be very zealous about this, but I do want to speak on behalf of Navy. I was going to say, every time I meet with them, they seem very, very pleased. 
Unknown Shareholder: Okay, good. Now my other question has to do with the fact that some of us have been investors in the company for 3, 4 years, believe that the company had patent protection and had things that they could offer this great and expanding market that is unusual. And as I say, patent protection on some of the stuff. Now what percentage of the fixtures that we're putting out are patent-protected, in some way are proprietary kind of products? And how will be able to come [indiscernible] no [indiscernible] no I'm going back now to the commercial stuff. How much of it is proprietary, and how much of it's just comes off of the -- right out of a hardware store? 
James Tu: Right. So Ted, the thing is that, as you know, we have been developing LED lighting products for over 10 years now. We have substantial amount of proprietary know-how, to make sure that the products work, to work very well. And I think that could be proven by the fact that since 2007, our products on the Navy ships has never broken. The failure rate has been 0. I don't think any company in our industry could say that, at least I'm not aware of. On the commercial products, which we launched about 4 years ago, our failure rate is below 0.2%. So I'm saying that the products have to be reliable. They are after all, lights. They have to provide the lights reliably. And coming from there, once the other factors -- one of other factors I make, the purchasing decisions, is the price and the service. Right? So we try to address those concerns. So those factors become how we win the business. It's how we establish ourselves as the leader. So that's why I emphasized lowest cost, highest performance. So what's actually happening with our technologies is that we're able to leverage what we know and develop a very strong supplier network because a lot of these productions need to be outsourced for the -- in order for us to be economically competitive. But we make sure that we have designed our designs. What, I'm sorry? 
Unknown Shareholder: Excuse me, is Revolution selling the same stuff? 
James Tu: No. We actually look at every product, I mean, the primary ones that comes from viable brands. We actually compare with all of them all the time. We believe that we are absolutely providing the highest performance at the lowest cost products today. Again, if you look at [indiscernible] and price points. And so I'd say they have their products, we do look at their products as well, but we're not selling the same product at all. 
Operator: At this time, there are no further questions in the queue. 
James Tu: Okay. Thank you, everyone, again for your participation. And we will look forward to talking to you again in our second quarter 2014 earnings call. Have a great day. 
Operator: That concludes today's presentation. Thank you for your participation.